Operator: Ladies and gentlemen, thank you for standing by. Welcome to Nuance's Second Quarter Fiscal 2014 Conference Call. We will conduct a question-and-answer session on today's call (Operator Instructions) and as a reminder, this conference is being recorded. With us today are the Chairman and Chief Executive Officer of Nuance, Mr. Paul Ricci and CFO, Mr. Tom Beaudoin; EVP of Corporate Strategy and Development Mr. Bruce Bowden and Vice President of Investor Relations, Mr. Kevin Faulkner. At this time, I would like to turn the call over to Mr. Faulkner. Please go ahead.
Kevin Faulkner: Thank you. Before we begin, I remind everyone that matters we discuss this afternoon include predictions, estimates, expectations and other forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially. You should refer to our recent SEC filings for a detailed list of risk factors. As noted in our press release, we also issued a set of prepared remarks in advance of this call, which are available on our website. Those remarks are intended to serve in place of extended formal comments and we will not repeat them here. Let me turn the call over to Paul Ricci.
Paul A. Ricci: Good afternoon. Before taking your questions, I would like to highlight a few key points about our results in progress. We delivered a strong second quarter and first half of fiscal year 2014, with bookings and earnings above our guidance. Revenue at the high end of our guidance and operating cash flow that equals non-GAAP net income. We made very good progress building our businesses for future growth and profitability, balancing investment and key products in markets with increased attention to cost. We will continue to focus on this balance for the remainder of this year and into next year in order to deliver greater earnings growth. Over the past several quarters, we've provided increased bookings visibility, an important indicator of our future revenue growth. As we noted in our press release and prepared remarks, Q2 bookings were $638 million up 43% from the same quarter last year and as in Q1 exceeding our 15% annual bookings growth guidance. We do note that our Q2 bookings benefited from several deals that came in earlier in the year than we had anticipated, including one large connected service deal in the automotive market, but our Q2 bookings, nonetheless, provide us with increased confidence in and visibility to our future revenue streams. Turning to revenue, Q2 revenue was $490 million, at the high end of our guidance. And importantly we continued to grow our as more of our business moves towards on-demand subscription and transactional models. To provide greater clarity of this revenue shift, we've reported in our materials that recurring revenue has increased from 54% of total revenue in Q1 2013 to 64% in Q2 2014. The largest component of this growth is our steady increase in on-demand revenue, which grew from 31% in Q1 2013 to 36% in Q2. Although this transition is reducing near-term revenue growth, it is adding sustainability and predictability to our future revenues. We also reported 30% year-over-year growth in deferred revenue, enabled primarily by our mobile business, from $388 million a year ago to $505 million at the end of Q2, providing further indication of future revenue growth. We are aware of the challenge that this shift to a recurring revenues poses for near term revenues, but we remain committed to improve earnings during this shift. In order to further improve profitability during this revenue transition, we've increased our focus on expenses. Our Q2 2014 results benefited from improved efficiencies and gross margins, careful prioritization of investments, and increased scrutiny of operating expenses. We're focusing our investments on our greatest growth opportunities, while more aggressively harvesting lower growth businesses and undertaking initiatives to engineer additional efficiencies in the business, especially in gross margins. We will sustain these efforts through the second half of FY 2014 and into fiscal year 2015, with the objective of delivering improved margins, while also ensuring future growth in our priority markets. As a result of all of these factors, we are raising our bookings and earnings guidance for the year, although we are slightly lowering our revenue forecast. Looking ahead, we believe these actions will enable improved organic revenue growth in FY 2015, while also supporting our commitment to year-over-year operating margin improvement. Now, we’re happy to take your questions.
Operator: (Operator Instructions) Right now we will go to the line of Richard Davids with Canaccord. Please go ahead, your line open.
Richard H. Davis: Great. Two quick questions. One, is there a change a little bit, or maybe an augmentation of the strategy to move more towards higher margins? Obviously, I know you're trying to grow the business, but when kind of I go back in time and look, you got up to the mid-30s operating margin business. So the question would be, when that shift to a different business model, more subscription model is done, is this a business that can get back to the mid-30s operating margin, or kind of notionally at least, where would this business feel like it would stand at that point? Thanks.
Paul A. Ricci: Well I don’t want to make a long-term margin prediction, but I do want to emphasize a couple of points. While the mix shift to recurring revenues has hurt our gross margins, because it’s a shift towards new evolving businesses, those margins will improve with time, as we engineer costs out of them. We have significant initiatives underway in the Company to reengineer certain parts of our infrastructure, to delever our cloud-based revenues in a more efficient way, for example, and to improve margins in our service offerings. And I think those will help improve our overall margins. And as well, we have a focus on operating expenses, and we think we have opportunities there to get greater leverage, as we see revenue growth in the future. So we previously suggested that we expect to deliver steady improvements year-over-year an operating margins and I think that remains the case.
Richard Hugh Davis: And then just one quick follow-up, the connected win you talked about, was Tweddle involved in that? In other words you bought that, and that was one of the interesting technologies on that side of the house. Was that part of the reason that you guys won it?
Paul A. Ricci: Tweddle was part of the large connected services we won yes.
Richard Hugh Davis: Great thank you so much.
Operator: Thank you. Next go to the line of Jennifer Lowe with Morgan Stanley. Please go ahead. Your line is open.
Jennifer S. Lowe: Great thank you. Paul, I wanted to ask, I know in the quarter you announced a leadership change in the Healthcare Group. Just curious, to get some color there, and how you're thinking about the new leader in that Group, Trace, potentially doing something differently or maybe changing things a little bit versus his predecessor? Just curious what the thinking there was?
Paul A. Ricci: His predecessor John de Leon did a terrific job in building the business, and as we look at the expectations and the opportunities in the business, we thought Trace was a great fit because of his extensive experience in particularly the marketing and selling areas of the business. He has a deep experience there, a lot of operational experience, and a very strong reputation. The evolution of that business is toward a deeper set of services, and more of an enterprise solution orientation for, as we focus on large healthcare institutions. And Trace has just really a sterling track record of doing that, and I think that he will evolve the business in those directions.
Jennifer S. Lowe: Great and then one more question on the Healthcare business. I noticed that the run rate for your on-demand business picked up nicely quarter-over-quarter, and obviously MModal filed for bankruptcy in the quarter as well. Just curious if there was any change in the competitive landscape as a result of that? Thanks.
Paul A. Ricci: Well, I think our benefit – I think our results, our improvement in that area have drawn from some competitive wins, but also from expansion into the adjacent markets that we've spoken about previously. We had talked in previous quarters about the opportunity in the so-called mid-market, and the ambulatory market, and I think we are making some progress in those areas, as well.
Jennifer S. Lowe: Great, thank you.
Operator: Thank you. Next go to the line of Brent Thill with UBS. Please go ahead. Your line is open.
Brent Thill: Thanks, good afternoon. Paul, just on the bookings growth, it sounds like the midpoint is closer to 20%, versus what you originally started the year, at 15%. The first half of the year, I think you were close to 34% growth. So I guess, would you talked about some of the deals that came forward, but why such a major deceleration in the back half of the year, from your perspective?
Paul A. Ricci: We were asked that question at the end of the first quarter and when we suggested the second quarter was going to be somewhat lower, and we said this is a new metric we are providing, publicly, and we want to be careful that we not get in front of ourselves, and some of that is factored into this as well. We did, as I mentioned in my opening comments, and I think maybe mentioned in the materials, we did benefit from the closing of several substantial deals that we actually had expected to close in the third quarter, and they closed in the second quarter. So some of it is timing, we think you could think of those as more of a weighted average of the quarters.
Brent Thill: Okay and just, the metric you mentioned, you've now reached 36% of the business that is on-demand. Do you think it is a long term goal that you can set to say that you would like to see the business in a couple of years at X percent, or are you not approaching it that way?
Paul A. Ricci: We certainly have an objective of increasing the proportion of revenues that are recurring, and it is a different proportion in each of our businesses. For example, I think the healthcare business is somewhat higher as a percentage than the average for the whole company. We expect recurring revenues to continue to increase, and the on-demand will be a major component of that. We will have other forms of recurring revenues, including term based licenses for example, but yes, on-demand will become a greater and greater proportion of recurring, and recurring will become a greater proportion of our overall base.
Brent Thill: Thanks, Paul.
Operator: Thank you. Next go to the line of John Bright with Avondale Partners. Please go ahead. Your line is open.
John F. Bright: Thank you, good afternoon. Paul, as the momentum is building in Nuance's shift to a recurring revenue dominant business model, with working through margin improvement, have we reached the inflection point in this transition? And if we haven't, can you crystal ball it for us, when you think that might happen?
Paul A. Ricci: I've said before I'm always reluctant to speculate about inflection points. I think we've seen some, as I believe the documents may have said, we’ve seen what we think is some acceleration in the trend, but I don't know if it's an inflection point. I think it's going to be a continuous trend that we’re going to see as we go through this year, and next year.
John F. Bright: And, let me move to Tom. Tom, what metric should we use to translate the strong bookings growth into revenue? Is there a bookings to revenue conversion timing factor, or something of that nature we should think about?
Thomas L. Beaudoin: So, John, I think it's a combination of metrics. So as Paul talked about, it's the bookings growth, it's the – we did add another metric this quarter around recurring revenues, and the big change there is the ability – we tried to break out the product and license line between that. And I think you can also think a little bit about, we are in the kind of 30-ish percentage of revenue that falls from current year bookings, and predominately all of our bookings will turn into revenue at about the five-year mark. There's a little bit of, as we talked about, there are some product lines like autos that have a period beyond that, but for the most part, you can think about 90% to 100% by the end of five years.
John F. Bright: Tom, another question for you. Plans for retirement of debt? I think there is the thought that you might – there some debt that might be retired in the summertime, and then repurchase activity, plans or thoughts around that?
Thomas L. Beaudoin: Well, we do have a convert that comes due in August. We have not finalized the plans on how we're going to handle that. At the time, as you know, we're quite well-positioned to either pay that off or to do some other activities there. We did slow down this quarter, the share repurchase, and we still have programs in place for that, and of course, it will just depend around capital structure and market price and valuations there.
John F. Bright: Thank you.
Operator: Thank you. And next goes to the line of Shyam Patil with Wedbush Securities. Please go ahead. Your line is open.
Shyam V. Patil: Hi, guys. Great quarter. Paul, in terms of the guidance for the back half of the year, what segment did you see the most, or are you expecting to see the most delta, relative to previous guidance, in terms of the revenue transition?
Paul A. Ricci: I'm sorry, I had a little trouble hearing you. Could I ask you to repeat the question?
Shyam V. Patil: Yes, just in the second half of the year, the guidance you've given, relative to the previous guidance, where is the biggest delta by segment?
Paul A. Ricci: Well, we're seeing are in areas where it is a migration in bookings towards – an elongation of bookings, migration towards the longer term bookings, and so it is areas where bookings tend to be shorter term, for example, enterprise licenses. We've mentioned previously that some of our healthcare products have moved from perpetual to term, and that's an area of gap in the change of forecast. Those are probably some big areas.
Shyam V. Patil: And then, on the mobile side, you guys have been expanding outside your traditional areas of handsets, cars, and voice mail detect into newer areas like the Fire and ultrabooks. Just curious, how important kind of are these newer categories to the mobile business, and how material are they in the sense that, are you – are they big enough now that they can drive the overall mobile segment growth?
Paul A. Ricci: Well, as you know, the mobile segment has four sub-segments, but two biggest of that are the automotive segment and the smart phone and other devices segment. And the devices you just mentioned fall into the second category. And they're quite important to future growth but they – and they appear as important, particularly in bookings, but because of the recognition of those revenues over time, we’ll see that growth in 2015 and 2015.
Shyam V. Patil: Great, thank you.
Thomas L. Beaudoin: Just maybe even a follow up to that, I just want to be clear on the – we've got a bookings to revenue that John Bright asked. If you think about FY 2014 conversion, we think about that in the 30-ish percent and I just wanted to be clear I didn’t really mean 30%, I meant kind of in the 30%.
Operator: Okay thank you. Next with the line of Daniel Ives with FBR Capital Markets. Please go ahead your line is open.
Daniel H. Ives: Kind of to the other question about healthcare, obviously it really seems like that business is starting to show some good growth, and you have new leadership. Strategically, is there a change moving forward even though the direct channel model, larger deals, how should we think about healthcare in terms of the next six to 12 months, in terms of any strategic changes, in terms of how it's sold?
Paul A. Ricci: Well as I mentioned in reference to the previous question, I think you should expect that the healthcare business will move to more of a solutions orientation that integrates our products and services into a unified offering that addresses the broad clinical documentation and revenue cycle issues within large healthcare institutions. And I mentioned that I think that is an area that Trace is going to focus the business on and so we should expect to see enhanced serves and more integrated offerings. At the same time, we do have a significant effort underway to address smaller institutions through a variety of channels and that is an important channel augmentation that is as I said we’ve talked about in previous quarters and it began to show some fruits.
Daniel H. Ives: Okay and then just in regards to mobile segment, broadly defined, automotive, are you starting to see a change in terms of customer feedback in terms of adoption, like any change in terms of maybe over the last three to six months, in terms of more customers willing to go full-throttle on speech recognition for Nuance?
Paul A. Ricci: Well I should note that in the automotive segment it’s I think a reasonable approximation to say that every major automotive vendor has speech-enabled solutions underway in either their current cars or their future vehicles. And we're working with nearly all of hose vendors and the rate of penetration is growing, which is what is driving growing royalties in our automotive business and we’ve enjoyed some royalty upside to that in – over the course of this year, which I think is an indication of increased adoption and acceptance. And similarly, in the smartphone market of course its ubiquitous functionality now and we are really talking about the ascension of that functionality to be a more comprehensive virtual assistant. I might reference that I believe that we are at the point in our own – in Nuance mobile cloud, where we are at about a 1 billion transactions per month, which is very rapid year-over-year growth and I think that’s some indication as well of the adoption and acceptance of this technology.
Daniel H. Ives: Okay. All right. Thanks a lot.
Operator: Thank you. Next go to the line of Jeff Van Rhee with Craig Hallum. Please go ahead. Your line is open.
Jeff Van Rhee: Great thank you. Number of questions, I guess just as relates to the bookings, so the short-term deferreds sequentially declined. You have had a couple great quarters of bookings. I'm just trying to reconcile the big bookings and the sequential decline in short-term deferred. And maybe similar tie-in into that question, with the bookings doing what they're doing on a year-over-year basis, understanding there's some term and some other things going on in there, but the three-year value of on-demand contracts was also flat year-over-year. So with strong bookings, can you just touch on both of those?
Thomas L. Beaudoin: Sure, I would encourage you to look at deferred revenue in total. Because there are is a couple of large contract that come in at a particular period, and then bleed of, so you can see some variability quarter-to-quarter. So I think the best day for deferred revenues is to focus on that. I also want to point out that within our recurring revenues, and within our bookings, as we have talked about for a long time, not all of our recurring revenues create deferred revenue. The piece that creates deferred is a growing segment within mobile and healthcare around some of the term based and other activities. A lot of our on-demand are still, leader type services so they don’t create deferred revenues. And I think maybe a last question was on the on-demand, and that's just the roll out of those particular bookings over time and then the net effect as we have talked about in healthcare of the addition of new lines plus some erosion, and as we've talked about, the HIM line erosion as stabilized over the last short period of time, which as Paul talked, about has also helped us in some of the HIM revenue.
Jeff Van Rhee: Okay. I guess while you're on it, in terms of the lines transcribed metric, up 10% sequentially. I think you've addressed or touched on the fact that folks are moving away from the cloud transcription to more the Prem Dragon-based EMR type interactions, if you will. What – the 10% sequential, really big jump there, can you just give a little more color on that?
Thomas L. Beaudoin: Some of that's associated with acquisitions, and some of its associated with what Paul described as wins in some of the segments. It is a combination.
Jeff Van Rhee: Okay and I guess just last one, and then I will let somebody jump on. I guess two for Paul, just you mentioned in the transcript that the forward guidance has some assumed revenue in there from future acquisitions. How much are you assuming from future acquisitions? And then also, just more emphasis this call, clearly on a pivot, if you will, to more of a focus on earnings. Just curious the thought process and the process leading up to that decision?
Paul A. Ricci: I think you should think of there being $15 million to $20 million of acquisition revenue in the guidance. And your second question, I believe, had to do with the increased focus on cost in margin, is that right?
Jeff Van Rhee: Yes.
Paul A. Ricci: Well, as we’ve said in our prepared remarks, and as I reiterated in my opening comments. We do appreciate the challenges for our shareholders that this transition poses and so we are trying to strike a balance to improve the profitability of the business to deliver value for our shareholders. But we’re trying to do that in the thoughtful way by focusing more on investments on fewer of our lines of business. And where we believe that we are going to have the greatest growth opportunity in fiscal 2015. And reducing our investments in those areas which are relatively lower growth potential.
Jeff Van Rhee: Okay. Thank you.
Operator: Thank you. Next go to the line of Greg Dunham with Goldman Sachs. Please go ahead. Your line is open.
Greg E. Dunham: Hi, thanks for taking my question. Given the aggressive shift to on-demand in the business, and the strong bookings, I would think that your on-demand growth would be more stable to improving, and there's just a lot of lumpiness in that growth metric, 7% this quarter, 13% last quarter, 9% and 17%, and even if you look at it on a sequential basis, it's kind all over the place. So I guess the question is, why don't we see a more stable year-over-year growth number or sequential number, first off, and how should we think about that growth going forward, especially given the strong bookings you have recently?
Thomas L. Beaudoin: Again, I want to reiterate that the on-demand is critical, but there is also as we go through the shift which is why we included the recurring revenue metric this quarter is that a lot of these transactions also effect the product in license line and that is fair amount of term based, recurring royalty based and also that associated with the – with some on-demand services. So it’s a combination of all those, I encourage to when we started to look at the growth in the transition of these revenues that you take that all into consideration. With respect to on-demand as we talked about there is always a time lag on the implementations whether would be in our enterprise business or our HIM business. And that can cause lumpiness around the growth.
Greg E. Dunham: On the term base, in the license line, does the customer get rights once that term is over, or how is that I mean I know it probably varies, depending on which product and all of that stuff, but how does that work for…
Thomas L. Beaudoin: They would have re-buy that, they would have to re-up for another term.
Greg E. Dunham: Okay thanks guys.
Operator: Thank you. Next go with the line of Shaul Eyal with Oppenheimer. Please go ahead. Your line is open.
Shaul Eyal: Thank you. Hi, good afternoon guys good quarter. So clear improvement on the expense side. Paul or Tom, can you provide us with example of the steps that you're taking to become more efficient? Is it headcount related, some other measures?
Paul A. Ricci: As we have talked about, we've had a number of initiatives, and were accelerating the initiatives around cost of goods sold and improvement in gross margin, and we're seeing, we saw some effect in that of Q2, and we think we'll see continuing effect of that, and there's some additional programs that have been started, and so we think that will be both near-term. But it will also accelerate as we get into the intermediate term, because some of the reengineering activities associated with that take some time to implement. On the OpEx side, it's really around, as Paul said, really taking a look and focusing on the core investment areas of the Company, and then driving cost efficiency and resource allocation to those most important investment groups.
Shaul Eyal: Got it. And, how did your European operations perform, also in light of the recent leadership change?
Thomas L. Beaudoin: The sales leadership change?
Shaul Eyal: In Europe.
Thomas L. Beaudoin: The sales leadership change was relatively recent, and the prior General Manager of Europe of course is still with the Company, so there's a very thoughtful transition plan. So it didn't really affect last quarter at all, because the previous manager was still in Europe, and he will still have responsibilities through this quarter. As I said, there's a very detailed transition plan to go through that change.
Paul A. Ricci: Yes, I just want to emphasize, our previous manager who has just changed has been a long-term executive in the company, and we sent there last year in order to improve the situation, which we thought was trouble. And he has done a good job of that, and we had a mutual commitment that he would return here this year, so this has been a long planned transition to a new manger.
Shaul Eyal: Got it. And just one final question, if I may specifically on the automotive business, which seems to be doing extremely well over the course of the past few quarters. Paul, can you discuss how the competitive dynamic specifically related to that automotive business, any newcomer, status quo, you guys are kind of leading full force ahead?
Paul A. Ricci: Well, I don't think there have been dramatic shifts in the competitive dynamics of the automotive market. We have competition, but we have a very strong position, and I think that position is because we offer a combination of very strong technology, very strong connected cloud solution, and a supporting set of professional and engineering services that are really important to the automotive manufacturers, to ensure quality and absolute commitment to timeliness of delivery against their manufacturing schedules. And we do that on a global basis in a really extraordinary number of languages, and I think that combination of factors has just make that a very good business for us.
Shaul Eyal: Thank you very much, and good luck.
Operator: Thank you, And our final question will come from the line of Scott Zeller with Needham & Company. Please go ahead.
Scott Zeller: Thank you. Just regarding the guidance for the next quarter, and I wanted to ask about the revenue recognition milestones, and you had mentioned in your prepared remarks that there was quite a large deal that was booked. How do you feel about the visibility you have to revenue rolling onto the income statement, and the ability to guide quarter-to-quarter? Is it getting easier with the way you're restructuring contracts, or are the revenue milestones unchanged, and the visibility is challenged? Could you comment on that please?
Paul A. Ricci: Both Tom I have indicated in various comments, the proposition of revenues coming from – the proportion of our revenues that are recurring is increasing, and therefore, our ability to forecast is improving with that. Tom gave you some indications of the rate of realization of our bookings. The automotive bookings incidentally tend to be relatively longer term bookings, because of a nature of the nature and the commitment to customers so that's necessary. But I think the combination of stronger growth in bookings plus the deferred revenue base growth that we're seeing, and the proportion of revenues that are recurring in each quarter, do in fact, make it easier for us to forecast, as we look ahead.
Scott Zeller: Thank you.
Paul A. Ricci: Okay. Then I want to thank you all for joining us and we look forward to speaking to you again next quarter.
Operator: Thank you, and ladies and gentlemen. This conference will be available for replay after 7:00 PM today, until May 29, 2014 at midnight. You may access the AT&T executive playback service at any time, by dialing 1-800-475-6701, entering the access code 324540. International participants, may dialing using 1-320-365-3844. Again, those dialing numbers are for the replay, 1-800-475-6701. International 1-320-365-3844, using the access code 324540. That does conclude our conference for today. Thanks again for your participation, and for using AT&T Executive Teleconference Services. You may now disconnect.